Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2012 Modine Manufacturing Company Earnings Conference Call. My name is Jenade and I will be your operator for today. [Operator instructions] As a reminder, this conference is being recorded for replay purposes.
 I would now like to turn the conference over to your host for today, Ms. Kathy Powers, Vice President, Treasurer, Investor Relations. Please proceed. 
Kathleen Powers: Thank you, and thank you for joining us today for Modine’s Fourth Quarter Fiscal 2012 Earnings Call. With me today are Modine’s President and CEO, Tom Burke; and Mick Lucareli, our Vice President, Finance and Chief Financial Officer. We’ll be using slides with today’s presentation. The slides are available through both the webcast link as well as a PDF file posted on the Investor Relations section of our company website, modine.com. Also, should you need to exit the call prior to its conclusion, a replay will be available through our website beginning approximately 2 hours after the call concludes.
 On Slide 2 is an outline for today’s call. Tom and Mick will provide comments on our fourth quarter results and go through our fiscal 2013 guidance. At the end of the call, there will be a question and answer session.
 On Slide 3 is our notice regarding forward-looking statements. I want to remind you that this call may contain forward-looking statements as outlined in today’s earnings release as well as in our company’s filings with the Securities and Exchange Commission.
 With that, it is my pleasure to turn the call over to Tom Burke. 
Thomas Burke: Thank you, Kathy, and good morning, everyone. Overall we had another solid quarter, ending our fiscal year on a positive note with significantly higher operating income despite some weakening in our served markets. The lower demand resulted in our sales being roughly flat on a year-over-year basis after adjusting for the impact of a stronger U.S. dollar. The improved operating performance occurred during a period in which we were supporting many new business program launches, which is very encouraging and demonstrates that our programs are solidly on track. With higher gross margins and lower SG&A expenses, we delivered a significant increase in income from operations, which was up 136% over the prior year.
 For the full year, our revenues were up 9% compared to prior year, in line with our expectations. We reported earnings per share of $0.83, ahead of our $0.70 to $0.75 estimate, and our operating income margin was 4.3%. Mick will provide a full financial overview in a few minutes, but first I would like to provide you with a short update on each of our business segments.
 Turning to Page 5, the North America segment had another good quarter and is continuing to prove that the restructuring we completed in this region has positioned it for continued success in the future. Over the past 4 years, we have consolidated our manufacturing footprint from 13 to 7 factories without reducing capacity, which has significantly improved our operating leverage. From a market standpoint, we are starting to see some slowing in the commercial vehicle market. The medium duty growth projections have been coming down and we believe heavy truck volume may come down as well. It appears that OE [ph] customers are beginning to reduce production orders in order to match a reduced demand.
 On the positive side, the construction market continues to strengthen. We are seeing slight improvements in the heavy construction equipment market and we believe light construction is starting to recover as well.
 Moving to South America, sales declined as expected due to the pre-buy of commercial vehicles in Brazil in the third quarter ahead of the January 1, 2012 change in emission standards, and the markets have yet to fully recover. At this point, we believe it will be late 2012 before we see a recovery in commercial vehicle market conditions. In addition, the agriculture market in South America has slowed slightly as well.
 We’ve done a great deal of work at our facility in Brazil to increase production capacity for aluminum products. As the market in Brazil converts to aluminum heat exchangers from copper-brass, we are well positioned to take on the higher volumes with our new launches. This will be especially important as new OEMs enter the market and require the advantages of the newer technology.
 Turning to Page 6, I am happy to report that our European segment had a good quarter driven by operational improvements in our Austrian and German manufacturing facilities. We have had a significant level of launch activity in the region and deliveries are on track as planned. Overall volumes in Europe continue to be slower than anticipated as our end markets continue to soften in light of the economic uncertainty in the region.
 As I mentioned last quarter, the market conditions in Europe have caused us to accelerate the restructuring of our operations in Europe. Our goal is to align our cost structure with a strategic focus on commercial vehicles and away from automotive modules. Our actions will result in gross margins in the European region in the 15% to 17% range and operating margins in the 8% to 10% range. We expect this, coupled with the reduction in assets, will result in a return on average capital in the region of 15% by the end of fiscal 2014.
 Now moving on to Asia on Page 7, in the quarter we continued to see lower excavator sales as economic conditions in China and a reduction in government investment in infrastructure weakened market demand. Forecasts indicate demand from our off-highway customers could be approximately 20% lower than last fiscal year. That being said, there remain many great opportunities in the region, both as our global customers expand their production and as domestic manufacturers improve the quality of their products to compete with their global counterparts.
 The conversion of our Shanghai plant from a module assembly to a high-volume oil cooler production manufacturing facility is going well and will allow us to meet the growing market for engine oil coolers in the region. Quote activity on this product line continues to be very brisk and we are very satisfied with our win rate. We anticipate a ramp-up in production starting in late 2012. In India, production volumes will double this fiscal year. In addition, we have new opportunities developing in both the commercial vehicle and off-highway segments.
 Our commercial HVAC products team continues to grow despite challenging economic conditions. Our U.K. business had a strong quarter with market share gains from new product introductions. However, in light of the economic challenges in the U.K., we are preparing for a potential slowdown of activity by data center operators that could impact our business in fiscal ’13. In North America, market growth in the commercial construction market will be positive for our commercial HVAC business. We are focused on increasing sales of our new packaged rooftop ventilation production to the market and of our Airedale air conditioning units to the school retrofit HVAC market.
 We are committed to this segment of the business and are developing new product lines and expanding existing lines to provide the highest level of energy efficiency to serve the heating and air conditioning needs of our customers. This includes expanding our product line into the fast-growing ground source heat pump market, which uses the earth’s natural thermal properties to boost efficiency and reduce the operating cost of heating and cooling systems. We just announced our planned acquisition of Geofinity Manufacturing, which will provide us with a wide product range in this strategic market. We expect solid market growth in the geothermal heat pumps to continue in both the residential and commercial segments.
 Turning to Page 8, Mick will go over our revenue and earnings guidance in more detail, but I would like to make a few comments on our outlook for fiscal ’13. We expect some volume challenges in the short term. We see economic weaknesses in some of our major markets. Specifically, commercial vehicles in Europe and South America are down, and we think North America volumes will be lower than previously projected. We also believe that the construction market in China will take longer to recover than originally planned. It was anticipated that continued strong market demand in these segments would offset the decreased volumes from our planned runoff of automotive programs in North America and Europe, including the wind-down of the BMW business. However, with the weaker-than-expected markets along with the significant impact of the stronger U.S. dollar on the currency translation of our foreign sales, we are preparing for lower revenues in fiscal ’13.
 I must emphasize that we are on track with our growth strategies. When we look out for the next 3 years, we have booked $250 million of net new business. Much of this is commercial and off-highway programs replacing low margin non-strategic automotive module programs. I am very pleased with the level of business we have secured and on which we will continue to build.
 Looking ahead through the year, we have work to do. We are addressing our cost structure in Europe and we need to accelerate our growth plans in Asia. Those plans are now well underway. We have a leadership team in place to meet these goals and navigate through this transitional year, fiscal ’13. With these factors in place, we have a very positive outlook for the following years.
 With that, I’d like to turn it over to Mick for a full overview of our financial performance and guidance. 
Michael Lucareli: Thanks, Tom, and good morning to everybody. I’m going to apologize in advance if I have to cough during my presentation. I’m coming off of a cold and I have all my water and everything lined up, but I seem to periodically have a coughing attack, so I apologize in advance.
 Turning to Slide 9, I will walk through the year-over-year income statement comparison. As Tom mentioned, fourth quarter sales decreased 8 million or 2%. Excluding the impact of foreign currency, sales increased 900,000 or 0.2%. All 4 of our vehicular segments experienced flat to down revenues due to several macro themes. First, we are seeing weakness in most markets outside of North America and lower foreign exchange rates are converting our non-U.S. sales to fewer dollars. In fact, nearly 60% of our sales are outside of the U.S. In addition, the wind-down of certain automotive programs is impacting our year-over-year comparables.
 On a brighter note, revenue in our commercial product segment was up 9%. Gross margin improved 160 basis points to 16.8%. This was driven primarily by our operations in North America and Europe. The combined improvement in gross margin and lower SG&A resulted in stronger operating income, which improved by $10.6 million or 136%. Please note that during both periods, Modine received a tax credit. During the most recent quarter, we received a $4.4 million tax credit in Hungary. A year ago, a similar tax credit was $3.4 million higher for $7.8 million in total. Excluding these incentives, our effective tax rate would have been in the range of 24% to 28% for the comparative fourth quarter.
 Overall, we are very pleased with the operating performance despite the market challenges, and I need to point out that during the quarter we discovered that we had not been properly applying value-added tax, or VAT, on certain complex cross-border transactions in Europe over the past several years. This discovery has resulted in our recognizing an estimated cumulative liability of $10 million, however, this is spread over the past 8 years, therefore we have revised our prior period financials to correct for these errors and we are also taking actions to ensure that VAT is properly assessed on all future cross-border transactions.
 Please turn to Slide 10 and let’s take a quick look at our key cash flow and balance sheet items. You can see that we have continued our trend in operating cash flow improvements throughout the year. As a reminder, our first quarter is usually a drag on free cash flow and we would expect that to continue going forward. This is driven primarily by the timing of several employee benefit payments and contributions that we see each year. The balance sheet remains strong with net debt to capital at 29% and $31 million of cash on hand. This past year represents the third consecutive year of CAPEX spending below $65 million.
 Moving on to Slide 11, I’ll review our segment results for the quarter. For North America, sales were up 1% due to several factors. First, OEM sales as a whole were up 7 million. This consisted of 16 million increase in commercial vehicle and off-highway sales and was offset by 9 million decrease in automotive and military truck sales as certain programs are winding down. The increase in OE sales was also offset by a $5 million drop in tooling sales versus a year ago. As you can see, although sales as a whole are relatively flat, we are achieving growth in our targeted markets.
 Gross margin improvement reflects improved plant performance and lower material costs. Also, I want to point out that last year’s results included $2.7 million unfavorable inventory adjustment in North America. SG&A was lower due to pension expense plus higher prototype and testing recoveries. Overall operating income improved by about $8 million or 104%.
 Our calendar 2012 market outlook is for growth in all targeted markets, however, we are starting to see indications that the level of growth, particularly in the Class 8 [ph] market, may be lower than originally anticipated. In addition, we are expecting the remaining wind-down of automotive programs and continued reductions in military spending will negatively impact next year’s revenue by approximately $15 million.
 Turning to Slide 12, we have a look at our South American business segment. As expected, sales declined in the fourth quarter as compared to the prior year due to the impact of the pre-buy of commercial vehicles ahead of the January 1 change in emission standards. In addition, the weakening of the Brazilian real had a significant impact on sales. On a constant currency basis, sales would have been down 10.5% rather than the 16% as reported.
 Gross margin and operating income were both down on lower volume and costs associated with the launch activities as this region coverts to new aluminum product. As for the 2012 outlook, we see the volumes in the commercial vehicle market remaining down and do not expect them to see a recovery until later this year. That said, we do expect modest growth in agricultural equipment and in the aftermarket business.
 Moving on to Slide 13, we have our European segment. Fourth quarter sales were down 4% over the prior year, also reflecting the negative impact of foreign currency. Excluding the foreign currency impact, the sales actually would have been up slightly. We continue to see the weakness in the commercial vehicle market, especially on the engine side, and our sales in this market were down 4% versus the prior year despite higher launch activity. Also, automotive sales were down 10% and this includes the $13 million impact from the wind-down of BMW in the quarter. However, these sales declines were largely offset by an increase in off-highway business, which was up 20% year-over-year.
 SG&A benefited from higher customer reimbursement and development cost in the current year and also the impact of an asset impairment charge taken in the fourth quarter last year. The overall impact was a significant improvement in operating income in Europe despite flat revenues, and looking ahead we anticipate the continuation of weak markets for autos and commercial vehicles given the economic situation in Europe. Our outlook also reflects the EUR 45 million reduction in BMW module business as that program takes its largest step down this year. After that and after this year, we are left with approximately EUR 45 million in sales, which will decline over the following 4 years.
 Turning to Slide 14, we have a look at our Asia business. Sales were relatively flat as order rates in the China excavator market are not improving from the sharp decline we saw in the third quarter. Tom discussed this, but while we’re continuing to launch some new programs, the new volumes cannot offset the weakness in the excavator market, which declined 48% year-over-year in Q4. In addition, we experienced the loss of some vehicular HVAC sales that we anticipated would wind down after we sold Modine Korea. The gross margin decreased slightly as we converted our Shanghai plant to a new engine facility – new engine products facility, also increasing our manufacturing capacity in that region.
 We are anticipating modest growth in India in 2012, however, the largest challenge will be our heavy reliance on excavator sales in China given the current market expectations. As a reminder, for the Asia segment excavators currently make up 60% to 70% of that segment’s entire revenue.
 Looking to Slide 15, last but not least is our commercial products segment. This segment continues to grow at a much faster pace than the overall market, driven by new product launches particularly in the U.K. The gross margin improvement coupled with flat SG&A led to a significant improvement in our operating income margin to 6.5%. In calendar 2012, we expect to see growth 2.5 – 2% to 5% I should say, for North America, and with regards to the U.K. and the slowing economic environment, we are lowering our expectations for growth in the server market there.
 Last, we are very pleased to announce the small acquisition of Geofinity, a technology leader in residential and commercial heat pump systems. This expands Modine’s product offering into a market that is growing nearly 15% per year. Current sales are quite small for this start-up company, but we will quickly leverage Modine’s brand and distribution system throughout North America. The earnings impact will be immaterial to this fiscal year and slightly accretive next year, but I’ll provide more and update once the deal officially closes.
 Moving on to fiscal ’12, before I move to guidance, I’d actually like to comment on the slide on the European restructuring that Tom keyed up at the beginning of the call. As you know, we are in the process of shifting our European focus away from high volume automotive modules towards a better balance of heavy duty programs, especially commercial vehicles. This is similar to the work we recently completed in North America. We have some aggressive financial targets, and in order to achieve them we need to address a number of areas.
 First, we need to align our manufacturing strategy with our product strategy for long-term success. Next, we have to attain a more efficient operating structure and reduce SG&A spending. In addition, we need to improve our asset efficiency by reducing the assets employed in this business segment. Over the next 24 months, our team will implement the necessary actions and we should start seeing some benefits next year. From there, we want to have a run rate that will achieve our financial targets of the following: gross margin of 15% to 17%, SG&A savings of EUR 5 million to EUR 7 million, and operating margin of 8% to 10% and ultimately a return on capital employed at or above 15%.
 At this point, we believe the net cash costs of implementing the program will be in the range of EUR 10 million to EUR 20 million. The ultimate cash cost can obviously vary significantly based on the potential proceeds from any asset sales. In addition to the cash costs, we may incur some non-cash charges during this process. This is the right thing to do and at the right time for Modine. The team in Europe is diligently working on finalizing these plans and is looking forward to the challenges ahead.
 Now let’s turn to the guidance for fiscal ’13 on Slide 15. From a revenue standpoint, we and many other companies faced some macroeconomic challenges this fiscal year. Also as mentioned several times, we have some non-strategic programs winding down, including BMW in Europe and certain automotive and military programs in North America. In total, this represents approximately 80 million in sales declines this year. We are also seeing some year-over-year declines in some of our key end markets which Tom and I walked you through, in Europe, South America and Asia. In addition, we are anticipating a fairly significant impact on our revenues from foreign exchange which could have a full-year impact of approximately 80 million.
 Given our current market and foreign exchange assumptions, we expect our revenue in fiscal ’13 to be down about 5% to 10%. Certainly things could improve, but given the current economic and foreign exchange situation, we prefer to take a cautious stance. We expect the decline in volume will result in a slightly lower operating margin, therefore we anticipate the operating margin will be between 3.5% and 4%. As a result, we are forecasting fiscal ’13 earnings per share in the $0.60 to $0.70 range. Please note that a portion of the EPS impact is due to an increase in our effective tax rate from this year. This is one of the more challenging areas to predict because we still don’t pay taxes in certain jurisdictions. The overall mix of our earnings plays a key role in the final effective tax rate. So while our EPS is expected to be down, the pretax earnings range is actually fairly close to fiscal ’12 results.
 In looking at the quarterly spread of our earnings projections, we expect the second half of the year to be stronger than the first half. Overall sales will be lower than the prior year in quarters 1 and 2. In fact, our most difficult comparison will be Q1 due to the volume and foreign exchange impact year-over-year. From there, we anticipate that revenue will grow sequentially as we move throughout the year, in line with launches in markets.
 So just to summarize before I turn the call back to Tom from my standpoint, Modine’s repositioning strategy is working. We are gaining share in all of our targeted markets. We just completed the third consecutive year of return on capital improvement. We’ve gone from a negative return in fiscal 2009 to more than 9% this fiscal year, but we have 2 remaining challenges to overcome. First, we must fully utilize our capacity in Asia and we are confident that our order book will do just that. Second, we must complete the restructuring in Europe and we have an excellent plan to get that done in a very timely manner. The current economic and market obstacles are just temporary. With the approximately $250 million of net new business ahead of us, we are highly confident in our future earnings potential.
 With that, Tom, let me turn it back to you. 
Thomas Burke: Thanks, Mick. In summary, we had a very good quarter and have wrapped up a good year. We continue to move Modine in the right direction. Fiscal ’13 will be a transitional year for us as we accelerate the process of restructuring our operations in Europe to better align with our global strategy. We expect to experience a negative impact on our fiscal 2013 sales due to the planned wind-down of the automotive module business, but we will also begin to see the benefits of the ramp-up of several important commercial vehicle and off-highway programs. Also, the current economic conditions and exchange rate environment have caused us to be more cautious in our expectations for revenues for the year, but we are confident that our strong order book of business and strategic direction will create significant revenue and earnings growth in the near future.
 Before moving to Q&A, I would like to say a few words about our enduring goals that we have recently established as part of our strategic planning initiatives. We have previously communicated that we established our near term corporate and business unit objectives based on a target level of return on capital employed. We have decided to take this a step further and have developed 4 enduring goals that are designed to guide our long-term growth strategies. They are: one, to be the fastest improving company in our industry; secondly, to achieve a 10% annual growth rate in revenue; third, to attain a 15% return on capital employed; and fourth, to build a more diversified business model. These goals are aspirational and they will push us to make the right decisions now and in the future to continuously strengthen our company. We are confident by using the principles of our Modine operating system along with the commitment of the entire global Modine team, we can and will achieve them.
 And with that, we’d like to take your questions. 
Operator: [Operator instructions] Your first question comes from the line of Ann Duignan with JPMorgan. 
Ann Duignan: It’s Ann Duignan. Can we dig a little bit deeper into your outlook for North America, both the comments you made on heavy truck customers maybe lowering their outlook for builds for the remainder of the year, and also you made some comments about improvement in heavy construction. Maybe you can give us some color around both of those end markets and what you’re hearing. That would be great. 
Thomas Burke: Ann, good question. What we’re starting to see is the order rate coming in from ACT is beginning to drop some, and we’re starting to see some potential, we feel, decline in production orders that could be coming. We’re anticipating that, so we think there will be some downward pressure based on demand coming in on the order rate through the industry. That’s kind of what we’re basing that comment on. As far as the off-highway side and the heavy construction, we continue to see strong orders with the customers and mix that we have being positive in that regard, so that is looking up for us on what we’re seeing as far as releases to our plants with our current slate of customers. 
Ann Duignan: So just to be clear, your comment on heavy duty trucks are more based on what you’re seeing from ACT as opposed to releases you’re getting from customers? 
Thomas Burke: I would say that’s the point. Right now we’re starting to anticipate that what the ACT data is saying, kind of our gut feel of data that’s going on in our plants, we’re going to see some production drops. That’s our instinct at this point. 
Ann Duignan: Okay. And on heavy construction, is that, have you seen an acceleration in the last couple of months in orders for heavy construction? I mean, we’ve seen compact construction equipment to the rental companies has been strong for a couple of quarters now, but it sounded like what you were saying is that on the heavy construction side, this is a newish trend. Is that…? 
Thomas Burke: Yes, and again, I think we’d say continued strong and maybe slight upward movement on orders coming in from our heavy construction customers right now. It’s nothing -- I wouldn’t say it’s a step function increase, but again, continued strong sales with continuing the momentum that we’ve seen over the last couple quarters. 
Ann Duignan: Okay, and then just to continue on the end markets, could you give us a little bit more color, same phenomenon in Brazil. I mean, I think we all understand the heavy truck comments in Brazil and the emissions-driven issues that are there, but you made some comments -- I think you said ag was still a bit weak but you’re expecting it to improve. Could you just talk a little bit about that? 
Thomas Burke: Yes, ag is up, it’s just not up as much. It’s been up 8%, I think. As far as our sales outlook, that’s dropped down to a lower single digit number in our forecast, so it just is not increasing as fast. 
Ann Duignan: Okay. And while we’re going around the world, maybe your comments on China, I mean, again, no surprise that the excavator market has not recovered. But are you hearing anything feet on the street? What is the scuttle from your team in China around construction and trucks, if you have exposure there? 
Thomas Burke: Well, our truck exposure is very low, okay, from that standpoint. But from a construction equipment, again, most excavator is down. It’s way down, and I saw specifically your write-up on Caterpillar, which you anticipated, of the inventory catch that they caught and stuff, building up for their peak season sales, and I think that the anticipation is that’s going to continue on for a while. 
Michael Lucareli: Ann, it’s Mick. We’ve continued to see a reduction in order rates in the Asia region in construction. We’re trying to keep our forecasts actually below what our order rates are showing us, because we see the same things you do. But we have not -- that has continued and it’s continuing into the summer. 
Ann Duignan: Yes, my guess is it will continue for a while, not a near-term resolution. And then finally in Europe, you noted that off-highway demand was strong. 
Thomas Burke: I think for Europe, it’s a low base but it remains on a positive slope, yes. So again, it’s a smaller portion of our business segment, switching from automotive and going into commercial. We have a smaller segment in off-highway and it continues, both ag and a little bit of what we have on the construction side is showing positive trends, although on a small base. 
Ann Duignan: Okay, good. And then, I’ll take a step back and see if there’s anybody else on the call who wants to ask a question. I may be the only one. If I am, I’ll come back and hit you with some more. But in fairness to anybody else who’s on, I’ll get offline for a second. 
Operator: Your next question comes from the line of David Leiker with Baird. 
David Leiker: Tom or Mick, if we look at -- if you were to put this outlook out, say, 4 or 6 weeks ago, how much different would it be now? Currencies have fallen off a lot here recently. I’m just trying to get a gauge of where you’re putting this number here timing-wise, whether that’s something fairly recent that’s ended up where you are today, or whether this is where you thought you might have been a month or 2 ago. 
Michael Lucareli: No, I think to be fair what we’re -- we have the advantage of unfortunately being a March year-end company, we’re providing you with the outlook that we see even as recently as last week, David. And yes, I think we saw some news yesterday from other companies. We are seeing continued decline, we just mentioned to Ann, in Asia, continued softness in commercial vehicles in Europe, and we’re actually seeing that in our order rates on the engine side, which we often think is a predictor, a leading indicator on the truck side. And then things are -- they still have ongoing challenges, as the news was this week, in Brazil; and then you mentioned foreign currency. So short answer, this is what we’ve seen most recently, and yes, it is probably softer than if you would has asked me 2 months ago. 
David Leiker: Okay. And if we look at the new business number -- this $250 million number. First, appreciate the disclosure on that. That’s great that they have a number there to look at going out. That’s net of what’s rolling off at the military and the BMW volumes, am I correct in that? 
Thomas Burke: That’s right. 
Michael Lucareli: Yes, that’s net of BMW and any other remaining strategic changes we -- any lost program, that’s the net increase we have, and we’ve done our best to remove any kind of market increases into that number, Dave, so that would be neutral of market also. 
David Leiker: So if I’m doing my math right with what you’re talking about here in ’13 and what’s left, there’s about $150 million of revenue that’s going to roll off yet over the next several years. 
Michael Lucareli: Yes. 
Thomas Burke: Within range, yes. 
David Leiker: Okay. And then your comment about the $250 million is back-end weighted. On a net basis, I know you probably don’t want to break it out year-by-year, but just as a ballpark, kind of neutral impact here in ’13 and then $100 million in ’14 to $150 million in ’15. Is that the way you see it flowing on, or is that timing there different than that? 
Michael Lucareli: Right now, we see that as more evenly split. You nailed it, this year is more of a push. Our new business is less -- actually, the good news is we’re offsetting the loss as we had sought for the last 2 years. The markets are surprising us a little bit this year, and then the $250 million, David, is pretty much evenly split over the following 2 years. 
David Leiker: And how much of that $250 million is the European truck volumes -- the business with the European truck manufacturer? 
Michael Lucareli: I would say roughly out of the -- I want to be careful we don’t get into too much segment, but 1/3 to almost 1/2 of our net new business is all from Modine Europe. 
David Leiker: And that’s predominantly truck? 
Michael Lucareli: Most of that will be truck, correct. 
David Leiker: Okay. And then as we look at the outlook here and the commentary you said about the first half of the year, with some of the comps and some of the issues you’re facing, it’s probably likely the first 2 quarters of the year that you’re in a loss position -- is that fair? 
Michael Lucareli: Right now, again, I didn’t highlight but I want to make sure, too, in our guidance, the numbers exclude any restructuring charges, so I want to make sure everybody knows on the call, and it is on the slide, that we’ll highlight any quarter if we have a large accrual for loss on the sale of an asset or a severance. So that could impact it, but absent any restructuring, we really don’t see losses in any of the quarters. 
David Leiker: Okay, and then one last item. As you go through the restructuring here with Europe and a boost in the return on capital there, which great actions in getting your arms around that, does that change your longer-term corporate targets at all, that 18% to 20% gross margin and 6.5 to 8.5; or are these actions that are needed to get to those numbers? 
Thomas Burke: Yes, this focus is each of our segments, we hold them to get to a 15% target ROACE, which as I explained is kind of our near-term objective. That kind of rolls up to that 11% to 12% corporate number that we’re looking for as our near-term objective. As we move forward, and that’s why I made a comment about enduring goals, that’s just kind of step 1 we want to get to, and moving forward from that is that focus on getting to a higher level ROACE with a target of 15% in mind. But 15% gets us to what I’d say is that required level we have to have for each region to be earning its way forward. 
David Leiker: Okay. 
Michael Lucareli: Yes, David, I would say the same thing. Can Modine Europe do a higher margin, absolutely, than 15% to 17%. But that, as Tom said, that’s our goal one. Right now, 12% is not acceptable. We need to get to 15% to 17% to earn an adequate return. Beyond that when we’re at full volume in our new strategy, we can have higher margins. 
David Leiker: Okay. And one last item to close up here -- as we look at, again, the guidance for ’13 versus ’12, obviously disappointing relative to where the expectations were. How much of that shortfall do you think is a function of these end market issues and currency issues, as opposed to -- I don’t want to use the word too strongly, but execution issues internal within Modine? It seems like most all of it is external. 
Michael Lucareli: Yes, easy for us to say, but thank you for the question. I’ll answer from my side and then give it to Tom. Nothing has changed, even from when we built our plans 2 years ago. We look at the net new business. This is $80 million of foreign currency. That’s $80 million of the wind-down, and we still have enough new business to offset the wind-down, but 4 of our 5 business segments’ end markets are clearly down. 
Thomas Burke: Yes, in my comments, if you take into account where Brazil has dropped to the massive drop in Asia, the delay in what has been because of the economic uncertainty in Europe on the truck programs. Those factored together a year ago were to carry this wind-off of business that was there, and those are the factors that are getting us along with Mick’s comments on currency. So we feel the fundamentals are right. We’re getting the Company in a position to grow with the strong product portfolio that we have and with the strategy that’s in place, so we feel very, very positive. 
Operator: [Operator instructions] Your next question comes from the line of Adam Brooks with Sidoti & Company. 
Adam Brooks: Can you maybe talk a little bit about pricing and if anything has changed within the last 6 months, and maybe more specifically within South America or Asia? 
Thomas Burke: Pricing-wise, nothing has changed. Actually with the conversion in Brazil of aluminum -- from copper-brass to aluminum, our margins improved with that conversion from that standpoint. Pricing may be down, but the margins are up on that business because aluminum offers a better value to those customers. And pricing in Asia, nothing has changed as well. 
Adam Brooks: Okay, and if we look at Asia specifically, you talked about new business rolling on, and obviously the market there is tough. Does that mean that we’re going to have a down year there overall, or will the new program launches be enough to offset the weak market? 
Thomas Burke: Was that Asia you were asking, Adam? 
Adam Brooks: Asia, yes. 
Thomas Burke: Okay. Yes, I think that we have a lot of launching going on in a down market, so there’s a tremendous amount of activity, program launches. It’s just at this point in the game that the volumes are such that it’s not overcoming that drop or loss of the absorbing of a cost base that we have in Asia in place. So that’s really kind of the frustrating part. We continue to see a lot of activity, a lot of launching. We feel good about the business pursuits and the win rate, as I mentioned before, but with the down market situation we’re just not able to overcome the headwinds of the lower demand for the market. 
Michael Lucareli: Yes, Adam, with 60% to 70% of Asia currently being excavators and that market being down 40 in probably full year, if it recovers down 20, I really doubt that we’ll be able to overcome that market drop even though we’re launching a lot of new programs. And as a reminder, those are why we expanded our second plant in China into an engine product facility for oil coolers and EGR Coolers, so that we can diversify that revenue mix and not be so heavily dependent on excavators. 
Adam Brooks: Okay. And then real quickly if we look long term, maybe a sense of what the Europe margin can look like, obviously completely changing the product focus over there. You’ve gotten good leverage within North America after restructuring. Is that kind of what you’re looking for within Europe as well undergoing restructuring there, or can that be even higher based on what we’ve seen historically? 
Thomas Burke: That’s a great point, Adam. The North American team and the example it’s set on what we can do with getting the legacy footprint into a new position is just proof of what’s in front of us as far as Europe. It takes a little more time in Europe to get through the changes and the restructuring. As you know, we have to engage and are engaged with all the right parties to make these moves move forward, but we anticipate very much, as we put on the table here, that by the end of ’14 we’ll have this business on an accretive basis as far as return on capital, and from there a lot of upside opportunities. So Mick mentioned that a good bulk of our new business wins are actually in the European region, not just commercial truck but others, so we’re very positive about that. 
Michael Lucareli: Yes, Adam, North America runs a couple points higher in gross margin, so the comments we gave today says 2 to 3 years, we need Europe at a minimum to be at the same level of gross profit. They’re nearly identical in revenue, same customer base, and then North America runs 10 million or 12 million lower in SG&A and we talked about that. And what Tom said, North America, we’ve converted to a 22% ROI-type business that makes a very good earnings -- cash and earnings. Europe can absolutely get there within the next 3 years. From there, yes, we can do better; but I just want to keep emphasizing, if we do what we say, things will be dramatically improved just in a 3-year window. 
Adam Brooks: Okay. And lastly, can you give us a sense of initial CAPEX expectations for fiscal ’13? 
Michael Lucareli: Yes, we’ll probably be in the 55 million range again. 
Operator: Your next question is a follow-up from the line of David Leiker with Baird. 
David Leiker: Just on this VAT item in Europe, the $10 million number. I’m presuming that’s a cash number, cash outflow that you need to pay at some point? 
Michael Lucareli: Yes. The pause, and what you need to know, is that’s an accrual we’ve made, so when we go back and we correct all of these, there’s always the chance that we will be able to negotiate or pay a lower amount. It is an accrual, and David, it could be spread over a longer period of time so it’s not an all-at-once type cash outflow, and it could vary somewhat. 
David Leiker: So have you paid any -- has any of the cash been paid on any of that accrual? 
Michael Lucareli: None of it. 
David Leiker: And where did the accrual hit accounting-wise? Is it just a restatement of past periods, or does it have to flow through this quarter, next quarter or something? 
Michael Lucareli: It will be flowing through the last -- we’re going to revise the last 3 years, but in each individual year it’s really not going to be a material number. We’re talking about 700,000 in, for example, fiscal ’11 and 400,000 in fiscal ’12. 
David Leiker: Okay. And then let’s stretch the envelope just a little bit, but if we take your current year where revenue came in and you fast forward 2 or 3 years -- you’ve got $250 million of new business, assume current currencies and markets. You hit the midpoint of your margin targets, you’re pushing $2 a share in earnings. Is that a number that’s realistic in that 2 or 3 time year period? Am I looking at that correctly? 
Michael Lucareli: Without David, walking you or guiding you the EPS that far out, I would say I think that’s the way we want you to look at the business. We’ve given you the pieces you need, you’ve got the right revenue. We’re confident on our margin assumptions, but I just don’t want to comment or confirm an EPS target. 
David Leiker: I just wanted to know if there’s something I’m missing in that math calculation to derive that number. And then if we take that one step further, you’ve got $0.80 in earnings for the year just finished, $0.80 plus or minus something here in the year that’s coming up. The trajectory to start to move from that level of earnings towards this $2 kind of number somewhere down the road, is that -- it seems like that starts 5 or 6 quarters from now, not 3 or 4 quarters from now. Is that the right way to look at that? 
Michael Lucareli: Yes, I think if you look at the next 4, I would definitely say in Q1 it’s really hard, Q2, and with -- I know we’ve talked with most of our investors the complexity of Europe, I think most of the blocking and tackling is going to have to be done in Europe this year. So yes, I think this is not a flip the switch and a one quarter restructuring in Europe. I think this year will be a lot of hard work, and our plan is to show you some improvement the following fiscal year with a much bigger kick in the following. 
David Leiker: Okay. And then in terms of the European restructuring, where are you in terms of actually addressing those issues from a timeline perspective, talking to the work councils and action plans and things like that? 
Thomas Burke: David, just let me say we are fully engaged with all the required parties right now, addressing these options that we need to consider in finding the best way forward. As you know, it’s very difficult. You know that we’ve got to respect the fact that there are parties that we need to engage with, so the timeline, we are very confident with what we’ve said that by the end of ’14 we’ll have this region in position, but it’s going to take some time to get there so you should be seeing updates every quarter with how that’s proceeding. But right now, we feel confident the right people are engaged and the right sense of urgency is where it needs to be. 
David Leiker: Are you at the point that we’re going to start to see some of this activity and some of this benefit show up in the next quarter or 2, or are you in the planning stage and the execution of it is further down the road? 
Michael Lucareli: Yes, we’re definitely far enough along where in the next quarter or 2, you’re going to start seeing some of the impact of this. Definitely some of the cost, and we’ll be able to be more open as we execute on those, but you’ll start to see them quickly. Frankly, with anything in Europe, the payback is always a little bit longer, so I hate to say we’d see benefits that quickly. 
David Leiker: And then the non-cash costs, do you think those might be comparable to the cash costs that you outlined? 
Michael Lucareli: Very difficult question. I’d be surprised if they’re that large, David, but for each item we’re looking at, we’ve got kind of scenario 1, 2, 3. So it’s very hard for me to answer at this point. 
Operator: And at this time, we have no further questions. I would now like to turn the call back over to Ms. Kathy Powers for any closing remarks. 
Kathleen Powers: Thank you. This concludes today’s call. Thank you for joining us this morning. Goodbye. 
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a great day.